Operator: Good morning, and welcome to Dana Holding Corporation's Second Quarter 2012 Webcast and Conference Call. My name is Ashley, and I will be your conference facilitator. Please be advised that our meeting today, both the speakers' remarks and Q&A session will be recorded for replay purposes. [Operator Instructions] At this time, I would like to begin the presentation by turning the call over to Dana's Senior Manager of Investor Relations, Craig Barber. Please go ahead, Mr. Barber.
Craig Barber: Thank you, Ashley, and welcome to all of you that are joining us either by phone or by webcast. On behalf of the Dana management team, I would like to thank you for joining us this morning. With me is Roger Wood, President and Chief Executive Officer; and Bill Quigley, Executive Vice President and Chief Financial Officer. Also in the room is Mark Wallace, Executive Vice President and President of On-Highway Driveline Technologies. Before we begin, I would like to review a couple of items. Copies of this morning's earnings release and the slides that we will be using have been posted on Dana's Investor website for your reference. Today's call is being recorded, and the supporting materials are the property of Dana Holding Corporation. They may not be recorded, copied or rebroadcast without our written consent. Today's call will also include a Q&A session. In order to allow as many questions as possible within our time frame, please keep your questions brief. Finally, today's presentation includes some forward-looking statements about our expectations for Dana's future performance. Actual results could differ materially from those suggested by our comments here. Additional information about the factors that could affect future results are summarized in our Safe Harbor statement. These risk factors are also detailed in our SEC filings, including our annual, quarterly and current reports with the SEC. With that, I'd like to turn the presentation over to Roger Wood.
Roger J. Wood: Thank you, Craig, and good morning, everyone. We're pleased to report our strong financial results for the second quarter. Sales for the period were just shy of $2 billion, with currency headwinds impacting us again this quarter. Without the impact of currency, sales were up about 7% year-over-year. On flat sales, net income for the period increased 26% year-over-year, to $86 million, which is the fifth consecutive quarter of positive net income. This bottom line growth reflects our ongoing focus on controlling costs and running our efficient operating model. Our adjusted EBITDA margin was 11.5% for the quarter, 110 basis points higher than the same period in 2011. All in all, Dana delivered strong income and margin growth in the quarter despite the impact of currency translation and softer Commercial Vehicle volumes in Brazil. Turning to the next slide, here is the latest breakdown of our sales by region that illustrates the effectiveness of our globally balanced portfolio. These figures shift from quarter-to-quarter, but the important point here is that our regional diversification gives us a unique advantage in being able to create synergies and leverage our products and technologies across our market segments. Sales diversified by region and also by vehicle market and also by customer adds more stability to our business, which is important in an environment where volatility seems to be the norm anymore. This past quarter served as a great example. Although sales adjusted for currency effects in South America were down, they were up in every other region. That takes me to the second part of this slide, which is our current view of our regional markets. Bill will talk about our revised outlook in his remarks, so I won't go into too much detail here. As you can see, it's a rather mixed story across the regions. Second-half demand in the North American Commercial Vehicle market has softened and Europe continues to pose considerable uncertainty. In Brazil, we expect a smaller second-half rebound in Commercial Vehicle production now. And as such, we've lowered our full-year production forecast for South America. Another factor across the regions is the ongoing impact of currency. Again, Bill will touch on this later, but let me add here that volatility in our markets is a fact of life. We're managing the business in a way that recognizes this volatility, while also staying focused on the factors that we do control. Our tenacious work on significantly reducing our breakeven point, coupled with our flexible operating structure provide assurance that Dana will remain strong in the event of a market downturn. Turning to Slide 6, I'd like to share some highlights in the areas of new business and new product technologies for our Light Vehicle and Commercial Vehicle Driveline businesses. Key business wins for Light Vehicle Driveline in the second quarter included driveshafts to be produced in China for two- and four-wheel-drive trucks for a Japanese manufacturer that we're unable to name at this point; front and rear axle modules to be assembled in Brazil for a small sport utility vehicle for a major global automaker; and steel and aluminum driveshafts to be produced in Mexico and Thailand for yet another Japanese customer. On this program, we took weight out of the driveshaft tubes to help improve fuel economy, while redesigning other components in the entire system to improve product durability. In the second quarter, 4 of our Light Vehicle Driveline plants in India, China and Taiwan attained more than 1 million consecutive man hours without a lost time injury. The safety of our employees and the quality of our workplace go hand-in-hand with the quality of our products, which means safety achievements are good news for our customers and our shareholders alike. Our Commercial Vehicle business introduced a new axle designed specifically for customers in India during the second quarter. With the new Spicer 91S axle, we've developed a lighter, more durable and easier to maintain axle with features tailored specifically to heavy-truck manufacturers in India. New business awards for Commercial Vehicle in the quarter included rear drive axles in Europe for AB Volvo, tire inflation technology for a U.S.-based manufacturer and steer axles in South America for a European-based customer. Steer axles in South America are customized for nearly every vehicle application. This gives us an opportunity to tailor the product to meet the customers' precise needs, which can include vehicle handling, safety, efficiency and maintenance among other attributes. The Commercial Vehicle business executed a successful North American business improvement plan in 2011 with solid results as shown by its improved year-over-year earnings. Our work is not done here, and we remain focused on keeping our cost structure in line with production volumes in each region. In order to be more efficient in aligning our product solutions with customer needs, the Commercial Vehicle business has launched a new field sales and service organization. This new up-close interaction with the users of our driveline products is critical to understanding and answering their needs with industry-leading technologies such as our Pro-40 Tandem Axles and our Diamond Series driveshafts that we've talked about before. So let's turn to our Off-Highway Driveline business now on Slide 7. Production launch activity was strong for this business in the second quarter and included axles for a John Deere tractor in India for both the local market and the export market to other Asian and North American arenas. Axles for a Sany construction vehicle in China, which is an on-highway axle being used in an off-highway application. It's also leveraging our DDAC joint venture, which provides the base axle that we tailor to meet Sany's needs. The off-highway group's other launches were driveshafts for a Caterpillar backhoe loader in Europe and transmissions for 2 Manitou teleboom handlers, also in Europe. As part of that last launch, Dana was 1 of only 4 suppliers invited to participate in an event Manitou hosted for its global distributors and fleet customers. At that venue, we were able to showcase our global capabilities and the new Spicer PS09 transmission. This advance powershift transmission improves operator comfort, machine productivity and fuel economy, which can be up to 12%, translating, of course, into reduced emissions and operating cost for the owner. Another product introduction for this group in the second quarter was the Spicer 318 hydrostatic continuously variable transmission. This transmission provides 20% fuel savings for construction vehicles when moving at high speeds. And in our Power Technologies Group, their business has also been busy in the quarter launching new products and winning new programs. In April, we shared with you the news that our active and passive warm-up technology earned Dana and Ford the Automotive News PACE Partnership Award. I'm happy to report that this technology, which improves fuel economy by up to 4%, is gaining broader market acceptance quickly. In addition to the 2 Ford platforms previously discussed, we start producing active warm-up units for a new Chrysler program in the next few weeks. Additionally, we've started production of engine oil coolers for one of the small engines in the new Dodge Dart. We're also producing engine oil coolers for Ford's family of 4 cylinder gasoline, turbocharged and hybrid engines, 2 of which are part of their EcoBoost family. We've had 5 production launches already, with more coming in 2013. Power Technologies also booked 2 additional oil cooler programs with a European automaker, one of which puts Dana technology on a global platform involving multiple variants sold in more than 20 countries, as well as several other sealing and thermal programs in Asia-Pacific, where we continue to expand our product offering and production capacity. We also have an exciting win to report that involves a new technology that we first told you about at our Investor Day last March. As I said before, one of our top priorities at Dana is leveraging our ideas and our technologies across the markets, regions and customers where we do business. We've been a leader in multilayer steel cylinder head gaskets for many, many years. By applying the expertise behind these engine gaskets to the transmission market, we're tapping into a new sizable and growing market. You're probably aware that transmissions in light vehicles have undergone a pretty radical transformation over the past few years. Nearly extinct are 3- and 4-speed transmissions. In their place are 7-speed, 8-speed, dual clutch and continuously variable transmissions. These transmissions have advanced by leaps and bounds, but their seals have not. Conventional paper-based seals can't withstand the higher pressures of these transmissions, and that results in a loss of efficiency. Dana's new multilayer steel transmission separator plate technology has quickly moved from an idea on the drawing board in March, to a product scheduled to be delivered to its first major global customer next summer. We were awarded this business in the second quarter. This technology addresses an important growth segment, advanced transmissions that help our light vehicle customers comply with fuel economy and reduced emissions regulations. Finally, Power Technologies has a lead position in fuel cell metallic bipolar plates and was awarded 3 fuel cell development contracts in the second quarter. Similar to our position in electric vehicle battery cooling, Dana has established itself as a leader and a development partner of choice in vehicle fuel cells. Fuel efficiency and emissions will be major global issues beyond any of our lifetimes. To prepare, vehicle manufacturers around the world will continue to work to commercialize electric and fuel cell technologies and Dana is positioned very well in the event either or both of these technologies take off. So turning to Slide 8, you've seen this slide before, but because it's so central to our strategy, I wanted to provide a progress report. First, new technology based on market value drivers. There are a lot of examples here. A few discussed today include active warm-up units and the Spicer 318 off-highway transmission. Economic and market conditions may change, but the value drivers of fuel efficiency, emissions and vehicle operating costs are here to stay, so we're aligning our technology portfolio with them. Selling across markets, regions and customers is a big advantage for Dana given our current position. Hereto are some great examples like the active warm-up products with applications across the 3 market segments; the Diamond Series Driveshaft, launching in Commercial Vehicle but with Light Vehicle appeal as well; and the central tire inflation system, crossing over from Commercial Vehicles into the Off-Highway segment. The transmission separator plates that enabled a significant forward market for vehicle transmissions that I just spoke about is an excellent example of leveraging the synergies across Dana's various technology applications. And our second quarter results, with 26% improvement in net income on flat year-over-year sales, is validation that our flexible lean operating model is allowing us to deliver the results that you expect of us, and that we expect of ourselves in this volatile market. The fundamentals are in place for Dana to continue to execute our plan, develop new technologies and ultimately deliver more value to our shareholders as we move forward. Now I'm going to hand it over to Bill for the financials.
William G. Quigley: Thanks, Roger, and good morning, ladies and gentlemen. Slide 10 provides a summary of Dana's 2012 second quarter financial performance with a comparison to the same period a year ago. As Roger mentioned, Dana posted a strong second quarter, earning $86 million in net income and delivering diluted adjusted earnings per share of $0.56, a 24% improvement from the second quarter of last year. Sales were about $2 billion for the quarter and slightly higher than a year ago. Similar to our first quarter results on a year-over-year basis, sales in the second quarter were impacted by unfavorable currency and lower Commercial Vehicle production in South America. However, our regional diversity more than offset these headwinds as we experienced higher sales in all other regions of the world. Adjusted EBITDA for the quarter was $225 million, improving $24 million, at 12% over the prior year. Adjusted EBITDA margin rose to 11.5% in the quarter, representing a 110 basis point improvement over the second quarter of 2011 and an 80 basis point improvement sequentially from the first quarter of this year. Net income increased $18 million compared to last year and was up sequentially $16 million from our first quarter 2012 results. This performance represents the fifth consecutive quarter of positive net income. Capital spending this quarter was $37 million, about even with a year ago, and free cash flow was positive $107 million, up $63 million, or a 60% increase versus last year. We are very pleased with the team's performance as we again delivered strong results in a much more challenging macro environment. Over the next few slides, we will highlight certain of these challenges, and how we expect they will impact our business over the remainder of the year. On the next slide, we have provided a year-to-date summary of our financial performance. 2012 consolidated sales were almost $4 billion, representing an increase of $193 million, or nearly 5% compared to 2011. Adjusted EBITDA increased $55 million from the prior year to $437 million year-to-date. Adjusted EBITDA margin totaled 11.1% and represented a 90 basis point improvement over the same period in 2011. 2012 net income of $156 million is significantly higher than a year ago. And even adjusting for the $53 million charge we recognized in 2011 related to our debt refinancing, Dana's net income performance is higher by $65 million. Free cash flow of $70 million, adjusting for the $150 million voluntary pension contribution to our U.S. plans, which we made in the first quarter of this year, was $61 million higher than last year's results. As Roger stated, all in all, very strong performance for the first half of 2012. Turning back to our second quarter results. Slide 12 provides a comparison of our consolidated sales for the second quarter of 2012 and 2011, as well as the change by business segment and the key year-over-year drivers of the change. From a regional perspective, the North America market remains strong across all of our operations, most notably favoring our Light Vehicle Driveline business. Sales in Europe were within our expectations for the quarter. We did experience continued weak demand in South America, in particular Brazil, principally impacting our Commercial Vehicle Driveline business. Adjusting for currency, all business segments other than Commercial Vehicle, posted year-over-year sales growth as highlighted in the lower left of this slide. On the lower right of this slide, we have highlighted the key year-over-year drivers of the change in our consolidated sales. Volume and mix contributed $88 million, even with the lower production environment in Brazil. Currency lowered sales by $122 million on a year-over-year basis, reflecting a stronger U.S. dollar compared to most other currencies. We expect currency to continue to be a headwind for the remainder of the year. Other includes the impact of material recoveries, pricing and other items, which on a year-over-year basis increased sales by $50 million. Slide 13 provides a comparison of adjusted EBITDA for the second quarter of 2012 and 2011. Adjusted EBITDA of $225 million for the quarter was an improvement of $24 million, or 12%, compared to the prior year. Adjusted EBITDA margin increased to 11.5%, up from 10.4% in the second quarter of 2011, principally due to volume and mix gains, as well as the net impact of our ongoing net cost improvement initiatives. On a business segment basis, Light Vehicle posted the most significant improvement, up $16 million compared to a year ago. If you recall from last quarter, we guided that Light Vehicle would improve margins during the course of 2012. And I will review the performance of each of our business segments in more detail on the next slide. At the bottom right of this slide, we have highlighted what drove the change in adjusted EBITDA on a year-over-year basis. The impact of volume and mix was favorable in the quarter by about $20 million, reflecting about a plus-20% contribution margin. Currency, including both transaction and translation impacts, lowered adjusted EBITDA by $6 million in the quarter. Performance includes our material recovery, pricing and cost control initiatives and was a net positive $10 million in the second quarter compared to a year ago. Partially offsetting our performance in the quarter were higher raw material costs and certain 2011 nonrecurring insurance recoveries that benefited last year's second quarter. We highlight our business segment results on Slide 14. In Light Vehicle, sales were up 12%, while segment EBITDA increased 27% for the quarter compared to the prior year. Segment EBITDA margin for the quarter of 10.3% was 110 basis points higher than a year ago and 160 basis points higher than the first quarter of this year. Volume and mix and the net impact of raw material recovery and pricing initiatives offset the impact of currency. This performance is in line with the guidance we provided last quarter, and that we expect our margins to improve back to more normal levels throughout the remainder of this year. Commercial Vehicle experienced lower sales of $70 million or a decrease of 12%, principally reflecting continued market softness in Brazil and the impact of currency. Even with the sales decline, segment EBITDA increased 4% compared to last year, resulting in an 11.1% margin. Production volumes and mix in North America and to a lesser extent Europe, as well as pricing and material recovery actions all contributed to this improvement. Off-highway turned in another strong quarter as sales increased 3%, even with a currency headwind of plus $40 million compared to last year, largely reflecting higher demand in Europe. Segment EBITDA increased $5 million for a margin of 13.1%, an 80 basis point improvement over the second quarter of last year. This is also an increase of more than 190 basis points sequentially from our first quarter. Off-highway benefited from higher demand and margin improvement initiatives. Power Technologies sales in the quarter were lower than a year ago by about $7 million, of which currency represented a $16 million headwind. Adjusting for currencies, sales increased $9 million, principally reflecting the increased volume of both North America and Asia-Pacific. Segment EBITDA was even with a year ago, although a 30 basis point improvement. Slide 15 provides our free cash flow performance for the quarter. Free cash flow in the second quarter was positive $107 million, compared to $44 million in the same quarter a year ago. Working capital was a use of $55 million of cash in the quarter as production volume remained relatively high, although an improvement compared to the prior year. We do continue to expect working capital to be at moderate use for the full year. Capital spending was $37 million and in line with last year. Cash outflows for interest and taxes were $9 million in the quarter, equal to a year ago. On a sequential basis, the decrease from first quarter 2012 is attributable to the semiannual interest payments on our unsecured notes, which are due on the first and third quarters of each year. For the full year, we expect cash income taxes to be still around $100 million. Restructuring of $8 million was flat to last year and for the full year, we expect restructuring cash outflows to be about $50 million. Finally, Other includes the impacts of changes in all other assets and accruals and was down slightly on a year-over-year basis. On a year-to-date basis, free cash flow adjusted for the $150 million voluntary pension contribution we made in the first quarter of this year was positive $70 million, an improvement of $61 million compared to the previous year. Turning to Slide 16. Our balance sheet remains strong at the end of June. Total cash on hand, including marketable securities of $60 million, was $941 million, and our net debt was $13 million. To the right of this slide, we highlight the changes to our overall liquidity from year end 2011 to the second quarter of 2012. At the end of June, there were no borrowings outstanding under our U.S. and Europe revolving credit facilities and availability under these agreements stood at $488 million. Our liquidity profile enables us to continue to execute our operating strategy, both near and longer term, as well as provide a return to our shareholders. Slide 17 provides an update of our global vehicle production estimates for full year 2012, and I'd like to highlight a few items included therein. In North America, we expect Light Vehicle production to be unchanged in the range of 14 million to 14.5 million units. We also estimate full-year light truck production to remain stable compared to our prior outlook. We are adjusting our North American heavy truck production estimate down a bit, and we are now expecting Class 8 truck production in the range of 270,000 to 280,000 units for 2012. While we continue to monitor Europe closely, given the current economic environment and uncertainty, we are maintaining our full year production outlook for both light vehicle and medium/heavy truck compared to our prior estimates, although we believe that final production will be at the lower end of the range on the light vehicle front. For South America, while there was a slight increase in medium/heavy truck production in Brazil from the first to second quarter, this market has not staged the recovery that we previously expected. We now expect full-year truck production to be lower than a year ago by almost 30%, which is reflected in our revised production estimates for the region. We have also lowered Asia-Pacific medium/heavy truck production due primarily to the slower market in China. As you know, changes in the China heavy truck market have the largest impact on our DDAC joint venture, which has been significantly impacted through the second quarter. DDAC's year-to-date sales are $378 million, 25% lower than a year ago, reflecting the current market environment. In the off-highway market, we are maintaining our previous production estimates. We do see some softening in Europe and China, although some positive trends in North America. All in all, we are not expecting significant changes at this time. I would like to take a moment to talk about our expectations for the second half of 2012 compared to our first-half actual results, which is summarized in Slide 18. On this slide we have outlined the 3 main drivers that take us to our full-year guidance. First is currency. We expect currency to remain a headwind for the rest of the year and have revised our currency assumptions. As an example, we are now forecasting the USD/euro rate at about $1.21 for the rest of the year. The impact of currency on sales is expected to be in the range of $100 million to $130 million and adjusted EBITDA to be about $5 million to $10 million. The next driver is volume, mix and other. We expect sales to be low in the second half of 2012 when compared to our first-half results, in the range of $130 million to $185 million, for a number of reasons. First, we have lowered our production assumptions for Class 8 trucks in North America, which impacts our second-half expectations. Off-highway sales will be lower in the second half of the year, reflecting normal seasonal demand for agricultural, as well as overall Europe demand due to summer and holiday shutdowns. As we mentioned last quarter, in Light Vehicle, we have planned legacy programs rolling off in the second half of this year. On an adjusted EBITDA basis, these roll-offs have a much lower margin profile than our base business. As we progress into the second half, we expect our operational improvements will partially offset the pressures of currency and volume. Our operating model drives us to adapt to the ever-changing market conditions while maintaining our margins. The final driver is the impact of one prior divestiture and one potential divestiture. Together, these will impact sales in the amount of $45 million to $60 million and $5 million to $10 million of adjusted EBITDA in the second half 2012. In 2010, as you'll recall, we divested the majority of our structures business, but retained one facility that was in a planned wind down. That facility will cease production in the third quarter of this year. And last quarter, we disclosed our intent to divest our leisure products operation, the small off-highway operation in North America represents about $50 million in annual sales. So to summarize, 3 main drivers, currency, volume and mix and divestitures lead us to a second half sales forecast that is lower by $275 million to $375 million from our first-half results. We expect adjusted EBITDA to be lower by $35 million to $55 million in the second half of 2012, yet we expect our operational improvements will enable us to continue to maintain our overall margins. Let's turn to Slide 20, which summarizes our updated full-year guidance. For the items we discussed on the previous slide, we are revising our 2012 full-year sales outlook to a range of $7.5 billion to $7.6 billion, essentially flat to last year. We are also revising our full-year adjusted EBITDA guidance to $820 million to $840 million, which represents a $55 million to $75 million improvement in EBITDA over our actual 2011 performance. We expect the adjusted EBITDA margin to be approximately 11% for 2012, which is at the upper end of our previous guidance. We have slightly lowered our full year capital spending, which we now expect to be in the range of $210 million to $230 million. And we expect full-year free cash flow to be greater than $200 million, adjusting for the $150 million voluntary U.S. pension cash contribution made earlier in the year. We appreciate your support, and now I'm going to turn the call back over to the operator for any questions. Thank you very much.
Operator: [Operator Instructions] Your first question comes from John Lovallo with Merrill Lynch.
John Lovallo - BofA Merrill Lynch, Research Division: A couple of questions here. First, I guess, just the EBITDA margin guidance for 2013, the target of 12%, how are you guys feeling about that at this point?
Roger J. Wood: Yes. Actually, John, great question. From what we see right now, we're pretty confident that what we had out there before still holds to be a good estimate. We're very happy with the progress that we're making on the inside of the company in terms of the improvements we're making from an operating model standpoint. And short of anything, disastrous out there in the sales side of things, that remains our objective for 2013, 12% in 2013.
John Lovallo - BofA Merrill Lynch, Research Division: Okay. Great. And then in terms of Brazil, it seems like you're looking for at least a slight recovery in the back half of the year. I mean, are you guys seeing any signs of a bottom at this point?
Mark E. Wallace: John, it's Mark Wallace. Yes, we are. We're expecting obviously some improvement going into the back half of the year. As mentioned earlier today, we were down 33% in the first half year-over-year, and we're expecting the back half to be down about 12% year-over-year.
John Lovallo - BofA Merrill Lynch, Research Division: Okay. Great. If I can just sneak one last one in here. In the reduction in CapEx, I mean, how would you kind of characterize that? Is that just you guys being more efficient or are you scaling back on investment?
William G. Quigley: John, this is Bill. I think it's -- to your point, it's the former. It's really more efficiency, as well as looking at the projects, timing, as well as ultimately what we're actually investing vis-à-vis what we're forecasting slightly better, so the operating groups have done a great job with respect to managing our capital investment.
Roger J. Wood: Yes, John, if I could -- this is Roger. Just to pipe in there just a little bit on that. I think there's a normal adjustment, we're midway through the year, and we're just truing up what we think will happen for the rest of the year. But Bill is exactly right in that our operating guys as they're tuning up their efficiencies and improvements in their operations, they're finding ways to do things that can require a little less capital than what we had originally anticipated. So they're doing a great job with that.
Operator: Your next question comes from Brian Johnson with Barclays.
Brian Arthur Johnson - Barclays Capital, Research Division: Could you get a maybe a little bit more specific on the performance, EBITDA expansion in Commercial Vehicle. How much of that was due to the repricing effort? How much of it was due to some of your other strategic initiatives? And then how we should think about that even as we continue to have softer, especially North American, CV build second half?
Mark E. Wallace: It's Mark Wallace. Overall, I mean, the initiatives we haven't really clarified, specifically pricing. I think we showed back a few months ago in the financial slides how pricing was flowing through in total for Dana. But both the initiatives of pricing and continued cost reductions are what's driving the margin. So we would expect going into the back half relatively flat sales half to half that we would continue to see margin appreciation into Q4.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. And in the Light Vehicle, you had a particularly strong growth there, 12%, yet you're maintaining a view that light truck is going to be flat year-over-year. Are you just being -- well first of all, what drove it this quarter? What kind of platforms were there? And then is this just being conservative vis-à-vis second half?
Mark E. Wallace: Brian, it's Mark again. A couple of things, one, that definitely the light truck business has been very positive for us. We talked about the Super Duty series of the F-250 and 350, et cetera, and also the Chrysler JK has been very positive for Dana thus far. We expect that to continue into the back half. However, we do have some headwinds on the revenue side, one, from currency; and two, from legacy programs rolling off in the back half. So we could see anywhere between an 8% to 10% decline in the overall base revenue due to those legacy programs and the foreign exchange coming through negatively for us in the back half. So we don't see any significant change in the light truck forecast only because the 2 programs where we happen to really be focused on are -- we're expecting to be pretty much flat, as we have some seasonality in the back half.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. So you do expect those to maybe moderate those growth back half? Or you just [indiscernible].
Mark E. Wallace: Yes, I think on a revenue basis only because you do have seasonality that will be impacting us with more shutdown days in the back half than we do in the first half.
Brian Arthur Johnson - Barclays Capital, Research Division: Sequentially, but on a year-over-year basis, wouldn't it be -- those platform still be growing?
Mark E. Wallace: Yes, that's correct.
Brian Arthur Johnson - Barclays Capital, Research Division: Okay. So I guess where I'm driving at is, the light truck assumption that apparently underlies your revenue on Page 17 is more flattish. Is that just -- you have that forecast, but that's not really the platform volume you're using in your guidance, or are you using -- is your guidance based on that macro forecast of light truck or is it based more on, here are the specific programs that we're on, here is their expected production schedules, and here is what that means for second half?
William G. Quigley: Right, Brian, it's the latter definitely. We provide obviously the outlook with respect to context on the overall market. As you know, obviously, we have certain concentrations to certain platforms. That's how we develop, obviously, our sales forecast and the resulting margins with respect to a particular business unit. So it is platform-specific.
Operator: Your next question comes from Patrick Nolan with Deutsche Bank.
Patrick Nolan - Deutsche Bank AG, Research Division: First question, on the Commercial Vehicle business, I expect the margins will be down versus the first half run rate. Do you still expect CV margins to improve year-over-year on the back half or will they be close to flattish?
Mark E. Wallace: Pat, it's Mark Wallace. As I've just mentioned to Brian a few moments ago that we do expect continued margin appreciation into the back half on relatively flat sales.
Patrick Nolan - Deutsche Bank AG, Research Division: And this next question is for Roger and Bill. Can you discuss what your thoughts are in a future cash deployment going forward? I mean, you have a company that is still improving margins. The exposure to the European Light Vehicle business is significantly lower than most of its peers, and you still have excess cash, but the stock is trading at a fairly low multiple. So could you just touch on what your thoughts are going forward as far as either redeployment of cash to shareholders or other changes in the capital structure?
Roger J. Wood: Yes, Patrick, let me start that answer and then I'll have Bill follow up with a few of the specifics. But overall, on a macro level, we feel very good about the performance of the company in what we've been able to achieve in the robustness and quality of earnings that we have even as we move into this volatile environment that we've got. So your point is well taken. We feel very good about the position that we have and the strength of the balance sheet. That said, overall, there are opportunities in the marketplace for us to enhance our technology and product portfolio in a few areas. And as you all know, those things, you can never put a date on when those things ultimately happen. But there are a number of things out there that would be not large, as we've said, our strategy is not to make a very, very large acquisition, but there are acquisitions in the range that we have previously given to you guys before that would fit very, very nicely. And we want to be able to have the flexibility to do that. We do have the flexibility to do that and some other things, and we're in constant discussions amongst ourselves and with our board on different capital allocation strategies. And I guess what I can say is, we continue to review those while we keep some powder dry for the opportunities that are out there for us. Bill, you want to follow up?
William G. Quigley: I just would certainly echo what Roger just stated with respect to our capital allocation principles within Dana. From a perspective of obviously continuing to support the business ongoing currently, looking for opportunities with respect to investment moving forward, both organically and inorganically, and then, obviously, just from a shareholder return perspective, we announced today, obviously, again another common stock dividend of $0.05 per share. So we started down that path with respect to distributions to shareholders, broadly including obviously the preferreds. As Roger stated as well, there are other opportunities from a capital perspective that we continue to discuss and explore. And we'll continue to do that during the near term here, but we are also cognizant of our multiple, and we believe the performance to date isn't necessarily being reflected in the current stock price.
Patrick Nolan - Deutsche Bank AG, Research Division: And Bill, what do you think the minimum cash you need on the balance sheet to run the businesses?
William G. Quigley: Oh, I'm sorry. We've said around $600 million.
Operator: Your next question comes from Peter Nesvold with Jefferies & Company.
H. Peter Nesvold - Jefferies & Company, Inc., Research Division: Maybe a quick question on Brazil. I'm not as close to that market. How much visibility do you get into production schedules in that market. So for instance in North America, I mean, we sort of know what the ACT backlog is, but then there's no penalty to cancel an order. So any time we get a bit of a downturn and all the water gets squeezed out of the backlog, how prevalent is that in Brazil and, therefore, how confident are you that the second half is down only maybe 12% or so?
Mark E. Wallace: Peter, it's Mark Wallace again. On Brazil, a couple of things. One, we've actually been out counting inventory ourselves just to get a personal feel of what's happening also at the different OEM plants looking at production output. So I think we have a fairly good handle on what's happening today. And I think today with some of the tax stimulus that's coming, as well as the central banks as far as lending rates continue to be more favorable, we think that what we're seeing today that we would see obviously a positive upturn in the back half versus the front half. Although, we're significantly down year-over-year on what we had originally anticipated, we do see good movement from the government there to help stimulate sales in the back half leading into 2013.
Operator: Your next question comes from Ryan Brinkman with JPMorgan.
Ryan Brinkman - JP Morgan Chase & Co, Research Division: Can you maybe walk us through some of the more or less specific actions that you're taking which allow you to expand your margins despite the tepid end market environment and the guide down on the top line? And then I guess it's a separate but related question, what kind of end market performance do you think you need to get to? Do you think you need to get to your 12% margin target in 2013, or can you sort of get there by continued performance alone?
Roger J. Wood: Great question. On the first part of that question, there's a number of levers that we're working on right now. Obviously, the continuous improvement in our operations. Our operating folks are doing a tremendous job at making sure that the continuous improvement on the cost side of the business are in line with what our objectives are for the improvement in our margin expansion. We also look at the different products. We have a number of products in each one of our business segments and not all of them are fantastic products for us in terms of margins and profitability. We're doing a couple of different things. We are working on improving the ones that need to be improved, no different than what we did in the Commercial Vehicle segment last year, with a lot of success. And in those specific applications where the opportunity is not prevalent or not really obvious to make that improvement, we're calling those out -- culling those out, I'm sorry, of the portfolio. So we do that on a continuous basis. Mark mentioned we have a couple of roll-off programs at the end of this year. Frankly speaking, we're not sad to see those programs leave our portfolio, and it's those kinds of actions that we're taking to increase the margin, even in an environment of the volatile sales. Bill, you want to handle the second part?
William G. Quigley: Yes, I think with respect to the end markets, Ryan, as we're looking at 2013, I think Roger's opening comments still remain very valid with respect to as we move from 2012 to 2013 with respect to a margin objective, the volume always is a positive on a year-over-year basis. But I think given the run rate of the business, and the work performed to date, as well as the initiatives that we have under way, even in an end market that might be down 2% or 3%, we do not expect that to be a cliff event vis-à-vis our EBITDA objectives for 2013. So again, it doesn't necessarily have to be a strong robust market, but certainly any kind of cliff event would pressure any type of performance.
Ryan Brinkman - JP Morgan Chase & Co, Research Division: That's extremely helpful. If I could just squeeze in one more. I was wondering if you were seeing anything different in the Light Vehicle Driveline business, seen anything different in terms of customer price discussions or annual automaker price downs, et cetera. Some of your peers have alluded to that.
Mark E. Wallace: Yes, Ryan, I guess being in the LV business most of my career. I think that is always a discussion at every meeting we have at purchasing, but I can't say personally I've been involved in significant pricing discussions where it's abnormal pricing pressures from the customers, but I do expect that will continue. But I think one of the things that we've seen is the supply base has continued to be very robust in their positioning. As we will remain that way going forward, that we'll make sure that we're able to maintain our margins in the future as well.
Roger J. Wood: Yes, this is -- Ryan, to follow up on that. Mark did a great job in answering that question, and I'll support what he said with that in terms of, I think the pricing pressure is going to be there all the time as the volumes return into the marketplace and get up near that 14 million mark and even above. The pressures, because of the competitiveness and overcapacity in general in the worldwide marketplace, pricing pressures are always going to be there. My confidence though that the majority of the suppliers have put a discipline in place since the financial crisis to make sure that they're making the right decisions for the business are there and probably changing the dynamic little bit in the future as opposed to the past. I can tell you for sure that Dana has done that, and I have confidence that other suppliers have as well.
Operator: Your next question comes from Emmanuel Rosner with CLSA.
Emmanuel Rosner - Credit Agricole Securities (USA) Inc., Research Division: My first question is on DDAC. You were mentioning a sales decline of about 25% in the first half. What's your outlook for, I guess, production and sales over the rest of the year and going into next year? And then on the margin side of that business, obviously, you had identified some opportunities to roll out the Dana, I guess, operating way there and improve margins through operational improvement. Has that been possible despite the pressures from the production environment there?
William G. Quigley: Emmanuel, this is Bill Quigley. I'll take a shot at both of those questions and then Mark Wallace can chime in as well. I think on the latter question with respect to implementing the Dana model, our Dana Operating System, as well as injecting, if you will, Dana resources into the business, we've continued to do that, and we'll obviously continue to do that into the future with respect to that being an obvious upside, we believe, in moving that business forward. With respect to the performance to date, obviously in an environment of a 24%, 25% reduction in sales year-to-date and, obviously, in the second quarter about 27%. From a margin improvement, really the team has been focused on taking cost actions in light of a much different sales in environment. So while we're still confident that over time we can improve this business with respect to not only implementing Dana practices, but working with our key partner, I think the near term has been more of responding to and trying to adjust the cost structure in light of a very down draft on the top line.
Mark E. Wallace: Yes, Emmanuel, also -- this is Mark Wallace. Also on China specifically the medium segment has not been impacted as much. It's definitely related to the heavy vehicle market segment which we participate in with our joint venture with Dongfeng. We really don't expect any significant improvement in the back half. Year-over-year basis, we're still talking at 25% to 30% decline in the revenue base in China. However, I think most suppliers in our market are fairly confident that China will continue to work to stimulate growth in infrastructure and that eventually this market will begin to pick back up into more normal levels in the future.
Emmanuel Rosner - Credit Agricole Securities (USA) Inc., Research Division: Understood. And then my second question was regarding your pricing initiatives from last year in Commercial Vehicles. The last time you updated us, I think you were talking about successfully renegotiating 50% of your contract. So related to that, have you already seen all the benefit from those actions and are we already seeing that in the current margin? And then, is there room to renegotiate more? So is there more actions there on pricing that could be had specifically in Commercial Vehicles?
Roger J. Wood: Yes, Emmanuel. Maybe I'll start that. This is Roger, and I'll turn it over to Mark for the details. As we mentioned in the first quarter earnings call that most of the pricing discussions and results were in previous to the first quarter. It was some left to straggle in a little bit. But for the most part, that's kind of behind us a little bit. And in North America, it was on about 50%. But if you recall in past discussions, we are also putting new technology and products in the mix and even with contracts that were in place, that other 50%, we were able to effect that by introducing products that provide value to our customer at prices that we would want for those products to replace existing products. So the overall picture is not 50% left on the shelf not able to be touched. The overall picture is that we're able to work on the entire portfolio in several different ways. And in addition, if you recall, product proliferation and reducing that, as well as internal cost improvements that we've been talking about earlier in the call also affect that. So Mark had alluded to earlier that we expect a continued margin expansion, maybe not at the rate that you've seen in the past for sure, but for sure is continued improvement in that area. So Mark, I don't know if you have anything else to add to that.
Mark E. Wallace: Yes, Emmanuel. Also, we've been able to negotiate some additional material recovery that will be a tailwind to -- moving into Q3 and Q4. And so with our initiatives of really improving our cost structures here in North America both from a conversion cost and the manufacturing, as well as material, as well as our new product launches and the fact that we've been able to secure some additional material recovery will be the tailwind moving us into the back half.
Emmanuel Rosner - Credit Agricole Securities (USA) Inc., Research Division: That's great. And then just finally, I know it's a bit too early to speak on 2013, but when you feel comfortable about the margin profile for next year and you look at your 4 businesses and the returns that they have currently, where do you see the biggest upside in terms of additional margin improvement?
Roger J. Wood: We're actually doing the 2013 work as we speak. That work has begun, and we're going through our budget review and long-range planning discussions. So we're not at a point yet where we're ready to speak about that because that work is happening as we speak, Emmanuel.
Operator: Your next question comes from Graham Mattison with Lazard Capital Markets.
Graham Mattison - Lazard Capital Markets LLC, Research Division: A question on the Power Technology Group. Obviously, strong margins in light of the revenue there. As you look out, is Asia still the key to the growth in this segment going forward? And given your new wins that you had, is there room for margin expansion in this segment?
Roger J. Wood: Yes, obviously, yes, PTG is a fantastic business unit of ours. Asia is a big market opportunity for us for expanding the business in PTG, but it's not the only opportunity. We're still expanding actually with transplant Asian players in North America, and we've launched some programs or are launching programs with those folks right now and starting up new programs. So we have opportunities to grow that business in North America, but you're right, Asia is the main growth driver for that business. And the products that we're launching fit the margin profile that we would expect out of that business. It is an engineering-intensive business, high-technology business and the margins follow with that.
Graham Mattison - Lazard Capital Markets LLC, Research Division: All right. Great. That's helpful. And then just to clarify and I apologize if I missed it. Did you say that you still see room for margin improvement in the Light Vehicle for the rest of the year or you expect it flat?
Mark E. Wallace: Graham, it's Mark Wallace. As I mentioned before, we will have some revenue headwinds into the back half that will moderate, but we would expect that we'll actually operate at normal levels that you've seen in the past.
Operator: Your next question comes from Tim Denoyer with Wolfe Trahan.
Timothy J. Denoyer - Wolfe Trahan & Co.: Roger, can you talk about the new field sales and service organization you put in, in Commercial Vehicle and what the costs for that are relative to what you're probably saving from exiting the Roadranger agreement and how that balances out?
Roger J. Wood: Yes. That new field service and sales organization that we're putting in is our part of what we were getting with the Roadranger program that we had canceled. We did put infrastructure in to that, and we continue to look at that. There is a bit of a savings, but that wasn't the main motivation. The main motivation of that program, Tim, was to make sure that we stay really close to our customers because as a technology company it's critically important that the users of the products that we put into the marketplace are close enough to us to give us the immediacy of feedback, and there was a -- as you know, with the previous program, we were one step removed from that and that was really the main motivation. Although at the end of the day, we are saving some money in doing it, we feel that we're going to get much bigger gains by having that close contact with the customer.
Timothy J. Denoyer - Wolfe Trahan & Co.: And then to jump around a little bit. Just follow up on the question a moment ago about PTG growing with transplants. I mean, if you look at the production numbers, it looks like the net imports to North America are just a couple of million units below where they have been in prior cycles, and it seems like transplants are adding capacity in North America. So in terms of the growth of -- or the new quoting activity in PTG, is that really accelerating in North America or is that still really mainly being driven by Asia and, I guess, Europe?
Roger J. Wood: The quoting activity growth is based on the technology plays that we have. So it's not necessarily based on an increased vehicle level production, but it is based on a penetration of today's technology into the current vehicle platforms. And that's where the PTG group is realizing the quoting activity that they're seeing, Tim.
Timothy J. Denoyer - Wolfe Trahan & Co.: And then just lastly going back to Commercial Vehicles, can you give any update on the Pro series and the Diamond driveshaft, if those are selling at this point and was there any of that in the second quarter results and what are you expecting going forward?
Mark E. Wallace: Yes, Tim, it's Mark Wallace. Actually, those programs are, as we mentioned before, are launching in this year. So we'll see some volume starting up in the back half, but, really, that will be one of our benefits going into 2013.
Operator: Your next question comes from Joseph Spak with RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: I guess I'm a little confused on the guidance in that you essentially took down the EBITDA range by $25 million. Yet at the low end of EPS, it's only down $0.01 and then $0.04 on the high end. So is there something else going on below that line, so to speak?
William G. Quigley: This is Bill Quigley. Obviously, from a tax provision perspective we're still using about 29% tax rate. I think about some restructuring that we've got ahead of us with respect to adjusted EBITDA vis-à-vis that adjusted EPS rate, that's going to have some impact as well.
Joseph Spak - RBC Capital Markets, LLC, Research Division: But isn't the restructuring taken out of that EPS?
William G. Quigley: Out of the adjusted EPS, yes, it is. You're right. Yes, you're right. We can get that. We can provide that. I don't have a schedule right in front of me, but we can provide that for you post the call.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then I guess just since you brought up tax in the quarter, it did look a little light. Was there something going on there in the quarter?
William G. Quigley: Yes, it came out to about 23%, 24% effective rate. Year-to-date we're at about 29%, and obviously that change in Brazil, which is a higher-tax jurisdiction, did do a benefit with a replacement, if you will, on the U.S, where the U.S. was somewhat higher in profits, and we've got that shelter of our existing NOLs. So that really was a jurisdictional mix issue.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. So then 29% for the year, we should be using much higher.
William G. Quigley: We're still holding, I think, the 29% for the full year. There may be some change obviously during the course of the third and fourth quarter, but that's a good planning rate to use.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then just on, I think it's Page 13 or 12 of the year-over-year drivers for the revenue. That $50 million other, is that -- I mean, what portion of that is pricing? And then maybe as a follow through, can you give us what, on the EBITDA level, what pricing net of savings or materials was in the quarter?
William G. Quigley: Yes, if you take a look at your $50 million. Let me just flip to that slide here. That $50 million is largely by the top line, largely the result of our pricing and material recovery initiatives. So that's what that $50 million is on a year-over-year basis, as we talked about during the Q&A session, obviously, concentrated around not only Commercial Vehicle, but really all of our businesses, Light Vehicle, Off-Highway as well have participated in most notably in material recovery initiatives to ensure that we are in a position that we're somewhat neutral to the changes in commodities over time. If you flip to I guess the next page on the performance, you'll see that $10 million to the lower right on the year-over-year drivers. So a $50 million top line and about $10 million flow-through, if you will, from a performance perspective. So we've got -- and we talked in my opening comments, we did have some nonrecurring insurance recoveries a year ago in the second quarter of about $10 million, as well as certain other items that benefited 2011 that did not recur into 2012. And of that, there's probably another $5 million to $10 million as well. So that obviously is kind of dragging down, if you will, on a year-over-year basis the benefits of our flow-through. Also in the quarter, we did have some material commodity inflation. I would say not of a large significance. Probably a little less than $10 million or so. But that's the other change in the top line to what we flow-through to the bottom line.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then just on the flow-through. Looks like on the currency in the quarter is about 5%. It looks like that's what you're assuming for the back half of the year as well. That seems a little bit maybe lower flow-through than prior and certainly, I think, versus what you did in the first quarter, but that's the right way to think about it, 5% on FX?
William G. Quigley: Yes. We've got a range right now of 5.5% to 7.7% or so. Maybe take a look at that first and second half look. And Obviously it depends on the mix of currencies and how they're moving. We certainly have an assumption with respect to the first and second half look. In the first quarter, we obviously had a more weight to transaction losses or this probably is more of a translational approach. So it's a little muted, but it's going to be dependent upon the mix of currencies and how they're moving vis-à-vis obviously the U.S. dollar.
Craig Barber: All right. Ashley, I think that's all the time we have for today. I'd like to thank everyone for joining us this morning and for your interest in Dana Holding Corporation. Thank you.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference call. You may now disconnect.